Operator: Welcome to AutoNation's Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen only mode. After the presentation, we will conduct a question-and-answer session. Today's conference is being recorded. If you have any objections, you may disconnect at this time. Now, I will turn the call over to Mr. Andrew Wamser, Treasurer and Vice President of Investor Relations for AutoNation. Sir, you may begin.
Andrew Wamser - Treasurer and Vice President of Investor Relations: Thank you, operator, and good morning, everyone, and welcome to AutoNation's third quarter 2015 conference call and webcast. Leading our call today will be Mike Jackson, our Chairman, CEO and President; Cheryl Miller, our Chief Financial Officer; Bill Berman, our Chief Operating Officer; and Jon Ferrando, our Executive Vice President responsible for M&A. Following their remarks, we will open up the call for questions. Robert Quartaro and I will also be available by phone following the call to address any additional questions that you may have. Before we begin, let me read our brief statement regarding forward-looking comments. Certain statements and information on this call may constitute forward-looking statements within the meaning of the Federal Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve risks, which may cause the actual results or performance to differ materially from such forward-looking statements. Additional discussions of factors that could cause actual results to differ materially are contained in our press release issued earlier today and our SEC filings, including our most-recent annual report on Form 10-K and subsequent quarterly reports on Form 10-Q and current reports on Form 8-K. Certain non-GAAP financial measures as defined under SEC rules will be discussed on this call. Reconciliations are provided in our press release and on our website located at investors.autonation.com. And now, I'll turn the call over to AutoNation's Chairman, CEO and President, Mike Jackson.
Mike Jackson - Chairman, Chief Executive Officer and President: Good morning and thank you for joining us. Today, we reported an all-time record earnings per share from continuing operations of $1.05, a 17% increase as compared to EPS from continuing operations of $0.90 for the same period in the prior year. This is our 20th consecutive quarter of double-digit year-over-year growth in EPS from continuing operations. Third quarter 2015 revenue totaled $5.4 billion compared to $4.9 billion in the year-ago period, an increase of 9%, driven by stronger performance in all of our business sectors. Total gross profit was $830 million compared to $753 million in the year-ago period, an increase of 10%. Operating income was $236 million compared to $207 million in the year-ago period, an increase of 14%. In the third quarter, AutoNation's retail new vehicle unit sales increased by 7% or 5% on a same-store basis. Today, AutoNation also announced the acquisition of Allen Samuels Auto Group, 12 stores with approximately $800 million in annual revenue, spanning across six Texas markets. Since the beginning of 2015, we have announced acquisitions with roughly $1.7 billion in annual revenue, of which $1 billion is Chrysler, Jeep, Ram, Dodge related. We will continue to pursue acquisitions that leverage our scale, expand the AutoNation brand and provide strong returns for our shareholders. The third quarter was also a pivotal for AutoNation. We continue to build the AutoNation brand, execute our digital strategy, showing our websites currently represent over 25% of our unit sales and third-party leads now represent less than 9% of our unit sales. We did all of this and delivered an all-time record EPS from continuing operations. In the third quarter, we announced an unprecedented industry-leading recall policy. It's simple. We will not sell, lease, wholesale, or dealer trade any new or used vehicle that has an open recall. We have made it our responsibility to identify and remove these vehicles from our inventory until the recall issues have been addressed. This will require us to build used inventory levels through the fourth quarter. We expect our used business to normalize in the first half of 2016 once our used inventory levels are ramped up. This is a significant brand attribute that differentiates AutoNation from – that no competitor has matched, not even CarMax. I now turn the call over to our Chief Financial Officer, Cheryl Miller.
Cheryl Miller - Executive Vice President and Chief Financial Officer: Thank you, Mike, and good morning, everyone. For the third quarter, we reported net income from continuing operations of $190 million or $1.05 per share versus net income of $107 million or $0.90 per share during the third quarter of 2014, a 17% improvement on a per share basis. There were no adjustments to net income in either periods. In the third quarter, revenue increased $445 million or 9% compared to the prior year and gross profit improved $77 million or 10%. SG&A as a percentage of gross profit was 68.5% for the quarter, which represents a 90 basis point decrease compared to the year-ago period. The provision for income tax in the quarter was $76.3 million or 39.1%. On September 21, we issued $750 million of senior unsecured notes consisting $300 million of notes at 3.35%, which are scheduled to mature in 2021 as well as $450 million of notes at 4.5%, which are scheduled to mature in 2025. A transaction represented our debut investment-grade bond financing and was extremely well-received by investors. The note proceeds were primarily used to reduce borrowings under our existing revolving credit facility. This resulted in an increase in our percentage of fixed-rate non-vehicle debt to 80% at the end of the quarter from 48% at June 30, 2015. Returning to third quarter results, net new vehicle floorplan was a benefit of $17 million, an increase of $2 million from the third quarter of 2014, primarily due to increased new vehicle unit sales as well as higher floorplan assistance rate per unit. Floorplan debt decreased sequentially approximately $180 million during the third quarter to $3.2 billion at quarter end, primarily due to reduced borrowings under our used vehicle floorplan facilities. Non-vehicle interest expense decreased slightly to $21.4 million compared to $21.7 million in the third quarter of 2014. The decrease in interest expense was driven by lower interest rates associated with the refinancing of our credit facility in December 2014 and the establishment of our commercial paper program in May of this year. At the end of September, we had $2.2 billion of non-vehicle debt, an increase of $77 million compared to June 30, 2015. Non-vehicle debt includes $435 million of outstanding commercial paper borrowings. At the end of September, we had no amounts drawn under our revolving credit facilities. I'll also note that we have no material debt maturities until late 2017. During the third quarter 2015, we repurchased 2.5 million shares for $150 million at an average price of $59.83 per share. As of October 26, we had approximately $297 million of board authorization remaining for share repurchase and there were approximately 111 million shares outstanding. This does not include the dilutive impact of stock options. Our leverage ratio remained at 2.2 times at the end of Q3 as compared to Q2. The leverage ratio was 2.0 times on a net debt basis, including used floorplan availability and our covenant limit is 3.75 times. Capital expenditures were $27.9 million for the quarter. Capital expenditures are on an accrual basis and exclude operating lease buyouts and related asset sales. Our quarter-end cash balance was $64 million, which combined with our additional borrowing capacity resulted in total liquidity of $1.8 billion at the end of September. We continue to use our revolving credit facility as a liquidity backstop for borrowings under our commercial paper program. As I mentioned a moment ago, we had $435 million of commercial paper outstanding at year end, which in effect at quarter end – which in effect reduces available liquidity to $1.3 billion. We continue to leverage our strong operating results and cash flow generation in order to make strategic investments in our business in addition to opportunistic acquisitions and share repurchase. Now, let me turn you over to our Chief Operating Officer, Bill Berman.
Bill Berman - Chief Operating Officer & Executive Vice President: Thank you, Cheryl, and good morning, everyone. AutoNation posted record results in the third quarter. We set an all-time record in EPS from continuing operations. This was our 20th consecutive quarter of double-digit EPS growth. Going forward, my comments will be on a same-store basis and compared to the period a year ago unless noted otherwise. Gross profit for variable operations was $467 million, up 6%. Variable gross was $3,282 on a per vehicle retail basis, an increase of $103 or 3%. New and used same-store unit volume was up 3%. New vehicle revenue for the quarter was $3 billion, an increase of $201 million or 7%. We retailed 87,400 units, an increase of 5%. New vehicle gross profit was $1,877 on a per vehicle retail basis, which was relatively flat compared to the same period a year ago. We are pleased with our new vehicle PVR performance for the quarter. In the fourth quarter, we expect a sequential increase in PVRs in the $200 range due to the seasonal mix shift towards Premium Luxury. Our pivot away from less profitable third-party lead providers helped offset new PVR competitive pressures. New vehicle PVRs from our self-generated sales, including Customer Financial Services, are approximately $800 higher than new vehicle PVRs from third-party sales. Regarding our digital strategy, AutoNation websites currently generate over 25% of our unit sales. Sales from third-party leads now represent under 9% of our unit sales. Used vehicle retail revenue for the quarter was $1.1 billion, an increase of $24 million or 2% compared to the period a year ago. Used vehicle retail were relatively flat year-over-year at 55,900. Used vehicle gross profit was $1,509 on a vehicle retail basis, a decrease of $112 or 7%. As Mike mentioned in the third quarter, we set an auto retail industry standard and decided not to sell, lease or wholesale any new or used vehicle that has an open recall. As of September 30, 6% of our inventory, which represent less than 2% of our new vehicle inventory and approximately 16% of our used vehicle inventory, was not available for sale due to open recalls. We will continue to build our used vehicle inventory levels to ensure we have adequate supply to meet the customer demand. In the third quarter, our used vehicle sales were slowed by our recall policy and we expect to see an impact in the fourth quarter as well. Putting our customers first is the right to do. We believe these short-term investments are outweighed by the long-term safety benefits for our customers and support the AutoNation brand promise. Customer Financial Services gross profit was $1,549 on a per vehicle retail basis, an increase of $146 or 10%. Total gross profit for Customer Financial Services of $222 million was up $26 million or 14% compared to the period a year ago. In the quarter, customer care revenue was an all-time record at $757 million, an increase of $44 million or 6%. We set another all-time record in customer care gross profit of $330 million, an increase of $28 million or 9%. Customer pay gross was $129 million, up 7%, our 21st consecutive quarterly increase in customer pay gross profit. Warranty gross was $67 million, up 15%. Collision gross was $30 million, up 13%. In the third quarter, we announced the DRIVE PINK campaign from coast to coast. Our DRIVE PINK campaign ties into the first-ever AutoNation Cure Bowl, which will be held at the Orlando Citrus Bowl on December 19 to benefit the Breast Cancer Research Foundation. AutoNation has pledged to donate $1 million to support BCRF. I would like to thank our 25,000 associates and our customers for partnering with AutoNation to raise $1 million for Breast Cancer Research. Finally, I would like to welcome the Valley Motors Auto Group associates to the AutoNation family. I'll now turn the call over to Jon Ferrando, Executive Vice President responsible for M&A.
Jonathan P. Ferrando - Executive Vice President - General Counsel, Corporate Development and Human Resources: Thank you, Bill, and good morning, everyone. We are very excited today to announce the acquisition of the Allen Samuels Auto Group in Texas. In connection with the transaction, we will acquire 12 stores that generate approximately $800 million in annual revenue and retail 19,500 new and used vehicles annually. Stores are located in the Dallas-Fort Worth, Houston, Corpus Christi, Tyler, Ennis and Waco markets. The franchises represented include Chrysler, Dodge, Jeep, Ram, Chevrolet, Hyundai, Mercedes-Benz and Sprinter. Acquisition is consistent with our strategy of enhancing brand representation and scale in our markets and the strong truck product offering of Allen Samuels makes it a great fit in Texas. Closing of the transaction is subject to customary closing conditions, including manufacturer approval. We expect the transaction to close in Q1 2016. Upon completing the Allen Samuels acquisition, AutoNation will have 53 stores in the state of Texas. We look forward to welcoming the more than 1,000 Allen Samuels associates and tens of thousands of new customers to the AutoNation family. Also, in September, we completed the previously-announced acquisition of Valley Motors in the Baltimore market and we're on track to complete in Q4 the acquisition of 13 stores in Georgia, Alabama and Tennessee from Carl Gregory. In 2015, AutoNation has announced the acquisition of 33 stores generating approximately $1.7 billion in annual revenue. And since Q4 2012, AutoNation has announced acquisitions and new franchises awarded by the manufacturers that will generate $3.3 billion in annual revenue once fully operational. As of today, our store portfolio numbers 307 franchises and 240 stores in 15 states, representing 35 manufacturer brands. These numbers will grow to 372 franchises and 265 stores on completion of the Carl Gregory and Allen Samuels acquisition. Looking forward, we will continue to actively pursue acquisitions and new store opportunities with a focus on enhancing brand representation within our existing markets and markets that can be supported by our existing management infrastructure. We will continue to be selective and prudent with our capital with a focus on investing to produce strong returns and long-term shareholder value. I will now turn it back to Mike Jackson.
Mike Jackson - Chairman, Chief Executive Officer and President: Thank you, Jon. I'd like to thank all our associates for their efforts with our DRIVE PINK campaign, which has been a tremendous success and I look forward to seeing all of you at the AutoNation Cure Bowl in December. Now, I'd be delighted to take your questions.
Operator: Thank you. Our first question comes from the line of Jamie Albertine from Stifel. Your line is now open.
Jamie Albertine - Stifel, Nicolaus & Co., Inc.: Thank you and good morning.
Mike Jackson - Chairman, Chief Executive Officer and President: Good morning.
Cheryl Miller - Executive Vice President and Chief Financial Officer: Good morning, Jamie.
Jamie Albertine - Stifel, Nicolaus & Co., Inc.: I was hoping to ask on the used retail side. Thank you for the additional color with respect to the recall campaign. If you could maybe tell us a little bit more or shed some more light on what the cadence of used vehicle sales would have looked like ex that campaign. Is there any granularity you can provide?
Mike Jackson - Chairman, Chief Executive Officer and President: This is Mike Jackson. It's very difficult to say what the missed opportunity was. So, I'm very – I'm not enthusiastic about putting an actual number on there, other than to say there was an opportunity impact. Obviously, our used vehicle sales were stable. We had some impact on the gross as it took longer to prepare vehicles to have them frontline ready and there is some disruption. But we think we're going to work through all those issues over the next quarter and starting sometime in the first half of next year. Going back to growing the used vehicle business and improving the grosses. There will be some permanent hard cost in that we're going to increase inventory to allow for – on the new side, 10% to 15% of it to be tied up at all time with open recall. But I think that cost is very manageable. You can do the math on that. Building the technology systems to manage it all, both to identify the open recalls every day and to manage the process of getting them all repaired, that's all underway. That's again a manageable cost and it's a one-time cost. But clearly, there is some opportunity that we missed in the quarter, because of the step that we've taken. In my view, it's hard to put a number on that. But if you weigh the cost benefit, both for what it means for the industry that we're taking a leadership position in something that's clearly a black eye for the industry, at the moment, namely the recall situation that AutoNation is going to be part of the solution, not part of the problem, that we put our customers first, the safety of our customers first, is a clear brand statement. And we see that the strength of our brand is every year more evident. And all you have to do is look at on the new vehicle side where we pivoted away from dependence on traffic bought from third parties to relying on our brand and our own sites, and investing in those, the strength that that gave us, to unique brand attribute, like the recall policy to positioning in the marketplace that the company really cares about the issue, such as the fight against cancer and, right now, the DRIVE PINK is focused on breast cancer awareness and raising funds to find a cure. I think all this is very compelling. And so, yes, in new cars, we have some lost opportunity for a few quarters. But in the grand scheme of things, I think we're on a convincing and compelling road, because the hardest thing to do in business is to open a sustainable competitive advantage. And I think the evidence is becoming clearer and clearer that AutoNation is doing something special.
Jamie Albertine - Stifel, Nicolaus & Co., Inc.: Thank you, Mike. I appreciate the color and we would agree with the long-term outlook as well. If I may, along those same lines, just a quick follow-up. You've talked about, at least in the last couple of years, some spending around your digital initiatives, coast-to-coast branding. It seems to us, just based on the data that you're providing as it relates to lead generation and so forth, that those investments are starting to leverage themselves. Just some additional color there would be great in terms of the returns you're seeing on those investments, and then if, at all, there are sort of further sort of supplementary investments that you're going to look to make in the near term that we should consider from our modeling?
Mike Jackson - Chairman, Chief Executive Officer and President: Yes. The third quarter is the proof in the pudding, that exactly what you described is happening on the digital side and the fact that if I just look at the new car business, which was primarily where Costco and TrueCar was – Cheryl, I think it was around 7% of our business? Something like 7% of our new car business we walked away from. And yet, we had an outstanding performance. So, if you want clear evidence that the power of the brand is taking hold and that our digital – the enhancement of our digital sites making it a better customer experience is worthwhile, and if you want – to me, the biggest proof is look at our front-end gross new vehicles, up $33. So, we walk – the business we walked away from with TrueCar and Costco, Costco hadn't have – their front-end gross on average was $900 less than the business coming through AutoNation channels. So, we left our most-unprofitable business behind us, our most-expensive business to acquire that weakened our brand that did not strengthen our brand. That's why I think that the third quarter is uncontestable proof that the strategy we've been talking about investing in has been validated and that we're getting tremendous benefit from it. We have, probably, on the pure technology side, passed the peak investment period, but substantial investment is yet to come.
Jamie Albertine - Stifel, Nicolaus & Co., Inc.: We appreciate that again. Thanks and best of luck in the fourth quarter.
Mike Jackson - Chairman, Chief Executive Officer and President: Thank you.
Operator: Our next question comes from the line of John Murphy from Bank of America Merrill Lynch. Your line now is open.
John J. Murphy - Bank of America Merrill Lynch: Good morning, guys.
Mike Jackson - Chairman, Chief Executive Officer and President: Hey, John.
John J. Murphy - Bank of America Merrill Lynch: Just a first question on the recall policy. I mean, sort of the flipside of this is that you're going to have potentially a greater capture of warranty here. And I'm just curious, have you thought about that sort of the offset and how big an offset would that be to the cost of carrying that inventory?
Mike Jackson - Chairman, Chief Executive Officer and President: John, I think the fact that we'll do all that work is true, but I really don't think it begins to offset the length of time – additional length of time it takes to get used vehicles frontline ready. So, it's more about the brand and more about being part of the solution for an industry black eye than the fact that we'll actually do more recall work. There is an issue out there floating that if the new vehicle dealers in the United States are authorized and have the technical skills to make these repairs and completion rates are not acceptable, and you hear regulators talking about the fact, well, if the new vehicle dealers and the manufactures can't figure out how to get these repairs done faster and on higher level, we're going to open it up to everyone else. And I think that would be not a good development on any side. And I, for one, believe when you have an issue in the industry, be part of the solution. It's a genuine issue for our customers. The irony is, I think, most customers think the repairs are already done. So, that's what's behind it. Yes, we will do additional recall work, but it really doesn't offset the disruption and the speed to market of our used vehicles.
John J. Murphy - Bank of America Merrill Lynch: Okay. That's helpful. And second question, I mean, obviously, you're on a large acquisition tear here, but you're also being reasonably aggressive with buying back shares. And it seems like as, Cheryl, as you kind of outlined, you do have a fair amount of capacity given your current companies to do a lot more. Just curious how you think about this capital allocation going forward with that much room and really that much opportunity. I mean, it seems like you're pressing the pedal a lot harder than you have in the past, and you've done a very good job in the past as well. But how much more opportunity you think there is in the future? Are we going to be looking at another $1.7 billion in acquired revenue over the next 12 months and another big share buyback in place? I mean, how far can you push those?
Mike Jackson - Chairman, Chief Executive Officer and President: I'll take it first and then I'll turn it over to Cheryl. The one thing that's not changed in all of this is our threshold on returns. That remains the same. We look for acquisitions that are a strategic fit for us, fit in our model where we want to be one-third domestic, one-third Asian, one-third German, and our cultural fit with our company. And certainly, these acquisitions are a cultural fit. Sometimes there is a difference in point of view about the future of a certain company. I, for one, am very optimistic and confident about the team that's at Chrysler. So, I have no hesitation buying big (27:37) on Chrysler. I'm all in. And so, you'll see sometime a streak like that come along. Now, as I said before, when we look at 100 deals, we maybe do 10. So there's a lot of discussions, a lot of conversations going on and it has to meet all those thresholds to meet that. We have a level of conversation that we can do a lot of deals next year. Whether they'll meet all that criteria or not, I don't know, and what I very much like is keeping the flexibility that I can do zero next year or I can do $2 billion next year. I'm not going to get – I'm not going nail myself to a cross on that. It really is dependent. And same thing on share repurchase, it's opportunistic. If the opportunity is there on both share repurchase and acquisitions, am I comfortable with a higher level of leverage? Absolutely. Cheryl, why don't you talk about that?
Cheryl Miller - Executive Vice President and Chief Financial Officer: Yeah. So, John, one of the things I would point out, acquisitions come with EBITDA. So, when we think about, just as we've said over the years, we look at a balanced approach. So, if a stock or the market's out of favor, we'll buy opportunistically. If the acquisition market is strong, we'll buy. We won't chase acquisition. So, I think if you roll back two years ago, we were patient. We were looking primarily for good dealerships that fit our existing footprint or platforms in other areas that might be a good fit for us. Right? So, we've stayed disciplined. We haven't chased things internationally. We continue to stay disciplined. The nice thing now is we're starting to see some of these deals hit and we've been positioned for this. So, with the strength in our base cash with (29:14) the operating business combined with the EBITDA we get with the acquisitions, knowing that we'll, in an acquisition, increase the EBITDA, it gives us a lot of flexibility to do both. So, I think we're in a great situation from a liquidity standpoint. And from a leverage standpoint, this balanced approach gives you an opportunity where some of the cap allocation actually comes with accretive EBITDA as well.
Mike Jackson - Chairman, Chief Executive Officer and President: And John, one more factor that you have to put in there today versus the past is the strength of the brand AutoNation. Think about it. So, we buy the Allen Samuels Group in Texas, great name, fine everything. We're going to rebrand those stores AutoNation. And as good as the legacy names are, they're not as good as the brand name AutoNation and all the attributes that come with it. Also, we take all the marketing communication money that's being spent by the Allen Samuels Group not to save, but to put behind the AutoNation name. So then, our whole presence in the state of Texas goes up by another factor. And it begins to feed on itself. And therefore, our confidence that we can execute on our plan to hit our return and the amount of risk involved, the risk goes down and the confidence goes up, all because of the brand AutoNation. That's what a brand is doing for us at this point. Also, sellers really like to talk to AutoNation. They've seen the way we've done deals over the years. They know we're straightforward, cards on the table. We identify all the issues upfront. And if we sign a deal, there is no drama. We get to the finish line and we pay what we said we're going to pay. So, you put it all together and I like our position.
John J. Murphy - Bank of America Merrill Lynch: Yes. Great opportunity, and low cost capital makes for a really good situation for you. It's really fantastic.
Mike Jackson - Chairman, Chief Executive Officer and President: Yes. Absolutely.
John J. Murphy - Bank of America Merrill Lynch: Just one last question. I mean, as you look at this, I mean, acquisitions obviously in the last couple of years have ramped up dramatically. I'm just curious, have you done anything with the on-boarding process here? And obviously, the industry as well as yourselves has a good track record of integration. But just as far as the integration process, if you could just talk about that, maybe Jon, on how you're approaching that now and how you're on-boarding all these dealers and really what the opportunity is?
Mike Jackson - Chairman, Chief Executive Officer and President: If I could I would like to give that over to Bill first, in that Bill pioneered our integration strategy and how we execute integration, and led the teams and did it very well. And now, he's our Chief Operating Officer, so he's not doing just the West Coast, but everywhere. But Bill really built the template that we use today. So Bill, why don't you talk about it.?
Bill Berman - Chief Operating Officer & Executive Vice President: Okay. Thank you, Mike. So, what we do is we take a very patient and balanced approach to our integration. Jon and I go in and set the stage, initially going into the acquisition stores, laying the ground work and foundational components of how the transition is going to take place. When I talk about patience, we don't try to sit here and flip a switch and, from one day to the next, go from being a legacy store into an AutoNation store. But over several months, we've perfected a process of being able to integrate them into our systems, our processes and our pay plans. And then, one unique thing that we're able to do because of our size and our scale is we call it a buddy system, probably I could think of a better name. But we actually get current AutoNation associates, from the general manager all the way down to individual department heads, to partner in the stores during that transition period, so they actually have a peer, a mentor, on an equal basis to help guide them through the transaction and the transition. The last, I think, we're up to 10 stores to 12 stores that we've put on that way. We've had a very, very low turnover rate, a high adoption rate and then been able to hit our pro forma target.
John J. Murphy - Bank of America Merrill Lynch: That's incredibly helpful. Good job, guys. Thank you.
Mike Jackson - Chairman, Chief Executive Officer and President: Jon, would you like to add anything to that?
Jonathan P. Ferrando - Executive Vice President - General Counsel, Corporate Development and Human Resources: Mike, thanks. No, I think the team has just executed extraordinarily well. And as we track our returns on transactions, being able to integrate them smoothly and have that skill set is just one of the many advantages of AutoNation as a buyer.
Mike Jackson - Chairman, Chief Executive Officer and President: Thank you, Jon.
John J. Murphy - Bank of America Merrill Lynch: Thank you very much.
Operator: Our next question comes from the line of Pat Archambault from Goldman Sachs. Your line is now open.
Patrick K. Archambault - Goldman Sachs & Co.: Well, thank you. Good morning.
Cheryl Miller - Executive Vice President and Chief Financial Officer: Good morning, Pat.
Mike Jackson - Chairman, Chief Executive Officer and President: Good morning, Pat.
Patrick K. Archambault - Goldman Sachs & Co.: Yeah. I guess just let's build on the M&A. You guys have covered it pretty thoroughly here, but maybe just on the environment. One of the things we've heard from others is that it's getting harder to make deals just when people are looking forward to a 17 million SAAR using 12-month looking historical multiples. So, obviously, you've managed to put together some pretty large transactions. That doesn't seem to be a barrier for you, but just wanted your comments on that.
Mike Jackson - Chairman, Chief Executive Officer and President: Well, I think that's a fair comment that we very much negotiate in addition to all the criteria I called out, but the most-important one is with sellers who have made up their mind to sell. Now, people who are checking the market to see if they can get the sun, the moon, the sky, and everything else, but it's not really for sale, it's just for sale if they can get a too-good-to-be-true price, and those discussions are out there. We identify those rather quickly and move on. We observe, most of the time, those businesses don't actually sell. Occasionally, someone will actually step up and pay the price and buy it, and that's fine. Can't do every deal. That's for sure. If someone else has a different point of view, okay. That's going to happen and you have to be willing to do that if you're going to stay disciplined on price. So, I think the key point you mentioned is, obviously, at a 17 million SAAR, some people who are maybe sellers, not really concluded to sell, will check the market. And you'll hear stories about what they're asking, and occasionally somebody will pay the price.
Patrick K. Archambault - Goldman Sachs & Co.: Understood. I just wanted to go back to the third-party lead discussion, again, taking some of the feedback from a couple of competitors here. What they've tend to decide was they needed them just because they had the perception of objectivity. Right? People want to go to something that's not affiliated with one particular dealer, because they feel it will do a better job of comparing competitors and give them an output that they can use that's better some way. And yet again, you've done a really good job of managing to lower your lead providers in spite of that. And I guess I just wanted to get your thoughts, what are you guys doing differently to sort of combat that perception? Maybe it's brand, maybe it's technology, just curious on that.
Mike Jackson - Chairman, Chief Executive Officer and President: Yeah. So, no question we're a company that zigs when everybody else is zagging. I mean, that's indisputable. Here is the way I think about it. I came to conclusion several years ago that building a brand with genuine attributes was the only way to compete and win in this marketplace. And not be disrupted and become a warehouse fulfillment center for others, that's really where I didn't want to end up. So, then when you say you have brand, the brand has to stand for something. And you see what we're doing, everything from our recall policy to DRIVE PINK to our fair pricing. And the capabilities on our digital sites, they're not informational, they're transactional. It took a lot of money and a lot of effort to make that happen. So, here's my point. There is a place in the market for third-party lead providers. There are dealers where it's appropriate that they do business with them. But here's the way I think about it. Every dollar I spend on marketing today sells a car today and sells a car tomorrow, because I'm building a brand. And if I'm diverting 30%, 40%, ultimately 50% of my marketing budget to build somebody else's brand, will play out where that ends. So, that's why the third quarter is so important. We were leading up to it. It was our pivot. And clearly, it works. And in my view, every year, AutoNation is going to be stronger than the year before and all the benefits that comes from that. And so, that gives us a relevancy and approachability and an attractiveness in the marketplace that can cut through all the other choices that consumers have and give us a very interesting and compelling business, but it has to be genuine. And you have to take risk. You have to take short-term disruption in order to get that differentiation. And we are doing that.
Patrick K. Archambault - Goldman Sachs & Co.: Yeah. It's clear that that looks like it's certainly paying off at this point. Is there – I guess you said you're down to 9% of sales with traditional lead providers.
Mike Jackson - Chairman, Chief Executive Officer and President: Yeah.
Patrick K. Archambault - Goldman Sachs & Co.: Is there a point where that can get to zero? Is there always going to be a role for them with you guys?
Mike Jackson - Chairman, Chief Executive Officer and President: So, here's the next discussion with the 9%. If they provide a role for the AutoNation brand with on their site, we can have a good partnership. As long as I can raise the flag of my brand on their site in a compelling way, we can have a partnership, because I'm building my brand. If the rules of the game are that, hey, listen, you pay me for traffic and we're not talking about AutoNation and what you are, then that's going to be a more difficult conversation. So, those negotiations will probably take the next quarter or so. And when I see how all that goes, I can probably give you a pretty good idea of where it's going to settle down, settle in. And if I have an appropriate positioning for my brands, then I'm really going to view them not as a third-party lead provider, I'm going to view them as a partner with AutoNation. I'm looking for a win-win partnership. And if I find that, we can have a long-term relationship.
Patrick K. Archambault - Goldman Sachs & Co.: Understood. Well, appreciate the color. Thank you.
Mike Jackson - Chairman, Chief Executive Officer and President: Thank you.
Operator: Next question comes from the line of Paresh Jain from Morgan Stanley. Your line is now open, sir.
Paresh B. Jain - Morgan Stanley & Co. LLC: Good morning, everyone. Going back to acquisitions, Mike, it seems like you're seeing deals come to you a bit more. Do you feel a flat year-on-year stock can actually bring more deals to you and more than offset any organic growth slowdown in you?
Mike Jackson - Chairman, Chief Executive Officer and President: Predicting forward deals is, again, not a road I want to go down. I really want to have the flexibility that when the – and I've said it in the past, when the opportunity was there, we were going to move. We're not afraid to increase leverage on the company to move. We'll move. If they're not attractive deals, they don't strategically fit, it's not a cultural fit, the price is too high, then we're not going to do the deal. And it's very difficult to predict what's even going to happen next quarter or next year. We have a lot of interesting discussions ongoing. I hope to have additional deals to do, but you never know.
Paresh B. Jain - Morgan Stanley & Co. LLC: Got it. Just a quick follow-up for Jon, why gain more exposure to Texas at this point given there could be some concerns around the retail environment or the consumer sentiment there?
Jonathan P. Ferrando - Executive Vice President - General Counsel, Corporate Development and Human Resources: Yeah. Paresh, Texas is an excellent long-term market for us. So, we're very comfortable operating in Texas. We've been there for a long time. Our stores performed very well in those markets and the fit was just outstanding in terms of the markets and the store locations and the brands, in particular with Chrysler, Dodge, Jeep, Ram and Chevrolet. Allen Samuels offers a strong truck portfolio that fits very well into Texas. And then, from a cultural fit standpoint that Mike talked about and Bill as well on the on-boarding, it was just an ideal fit for us. So, there were a lot of factors that came together, and we're very optimistic about operating in Texas long term.
Paresh B. Jain - Morgan Stanley & Co. LLC: Got it. Thank you.
Operator: Next question comes from the line of Michael Montani from Evercore ISI. Your line is now open.
Michael Montani - International Strategy & Investment Group LLC: Hey, guys. Good morning.
Cheryl Miller - Executive Vice President and Chief Financial Officer: Hey, Mike.
Michael Montani - International Strategy & Investment Group LLC: Just wanted to follow up on the M&A vein and ask about why the deals are kind of coming to fruition now? Is there perhaps some softening on seller expectations or do you see incremental synergies that you can get given the progress on the brand, Mike, or is it a combination of the two? Just some added color there would be helpful.
Mike Jackson - Chairman, Chief Executive Officer and President: I think it's a combination of the two and I would also observe of the $1.7 billion of deals we've announced for this year fully $1 billion is Chrysler, Dodge, Jeep and Ram. And I think there may be a difference in point of view about the long-term outlook. Can't say for sure, but it is $1 billion out of the $1.7 billion. And it's a clear expression of my confidence and optimism about those brands in the U.S. I love the fact that it's all four brands under one roof and that Chrysler Corporation continues to differentiate and make genuine differences in those brands. I've seen the product portfolio for the next several years. It's very compelling. But there are those who observe that Chrysler Corporation has been a boom and bust. And if you're thinking about building something maybe while everything is fine, it's a good time to do it. So, I think that's a factor of $1 billion out of $1.7 billion.
Michael Montani - International Strategy & Investment Group LLC: Great. Thanks. And then traffic to your website, there was some concern that maybe ending the TrueCar partnership could dampen that. But perhaps, Mike, if you or Bill could just discuss, are you actually getting increased share of voice and advertising as your brand grows? And how you're actually seeing kind of visibility to the brand evolving?
Mike Jackson - Chairman, Chief Executive Officer and President: Yeah. To be clear, the TrueCar traffic had nothing to do with our website. That's traffic that those leads go directly to our dealerships and we basically are paying for the traffic. It has nothing to do with AutoNation brand and nothing to do with AutoNation sites. And that was my issue. And at the end of the day, as you heard me say, in order to actually close transactions for that traffic, you were really enter a reverse auction process with competitors that generally led to an unsatisfactory result for us. So, it's two completely different things. So, I assure you the fact that we've gone from years ago that the AutoNation sites generated less than 10% of the business to over 25% of the business, there's a dramatic increase in traffic to AutoNation sites, and it's a better experience for the customers and a higher close rate and a better financial result for the company. So, it's a win-win-win strategy.
Michael Montani - International Strategy & Investment Group LLC: Got it. Just lastly on service, which was up 9% on the gross profit side, can you give any detail there about what you're seeing in terms of transaction size driving that versus transaction count actually driving the gross profit dollars?
Mike Jackson - Chairman, Chief Executive Officer and President: Bill, you have any observations there?
Bill Berman - Chief Operating Officer & Executive Vice President: Mike, could you repeat it one more time? I could barely hear you.
Michael Montani - International Strategy & Investment Group LLC: Sorry. The question was just the gross profit dollar comp being up 9% and service was quite strong. So, I guess I'm wondering, are you seeing increased gross profit dollars per repair job or are you seeing just an increase in the number of jobs that's driving it? And maybe how that plays into actually retention rates?
Bill Berman - Chief Operating Officer & Executive Vice President: No, I got the question, Mike. Thanks. It's basically on three different levels. Our traffic, volume of RO count coming into all of our stores is increasing. Our gross per RO, our gross per transaction is increasing as well as we've been able to leverage our margin a little bit as well. All three of those have contributed to the growth.
Michael Montani - International Strategy & Investment Group LLC: Great. Thank you.
Operator: Next question comes from the line Michael Ward from Sterne Agee. Your line is now open.
Michael Patrick Ward - Sterne Agee/CRT: Thank you very much. Good morning, everyone.
Cheryl Miller - Executive Vice President and Chief Financial Officer: Good morning, Mike.
Michael Patrick Ward - Sterne Agee/CRT: Just a couple of things. First of all, do you have any regional feedback on sales that we've seen?
Mike Jackson - Chairman, Chief Executive Officer and President: Bill, do you want to talk about regional performance?
Bill Berman - Chief Operating Officer & Executive Vice President: All three of our regions are performing at an exceptionally high level. I'd call out standout performance out of our Eastern region, primarily driven by Florida. But all three regions are performing pretty close to an equal level and at a very high level as well.
Michael Patrick Ward - Sterne Agee/CRT: Okay. Thank you. When you – I think you call it your Fast Lane, the beta test you're doing in Florida that, I guess, enhances or it's an extension of your digital marketing program. Is that correct? And do you have any feedback on how that's going?
Mike Jackson - Chairman, Chief Executive Officer and President: Bill, do you have anything on that?
Bill Berman - Chief Operating Officer & Executive Vice President: Once again, I can barely hear you Michael. So, was that on service or on sales?
Michael Patrick Ward - Sterne Agee/CRT: I'm sorry. I think you call it your Fast Lane, the extension of the digital marketing. I think you're doing a beta test down in Florida?
Bill Berman - Chief Operating Officer & Executive Vice President: Well, we're doing two different tests. We have AutoNation Express, which is primarily driven on the sales side of the business. We've expanded the test to parts of Southern California as well as South Florida, and initial results have been very strong. Mike talked earlier about building our brand, having transactional websites, being able to drive traffic to it. So far, all the results have been positive.
Michael Patrick Ward - Sterne Agee/CRT: Okay. And just as it relates to some of the digital marketing, national branding, is that a key factor as you're looking at M&A? Is that one of the things? Because it seems a lot of us are focused on there's a spike up in M&A activity. And I think there are probably a lot of reasons for it, but is one of them the strength of the national branding and the digital marketing that you offer? And does that mean the transaction is easier?
Mike Jackson - Chairman, Chief Executive Officer and President: Yeah. I sort of alluded to that earlier. I don't think there is any question about it. And I think that's on both sides. Sellers, of course, they're concerned about price, but they are very concerned about what happens to the business that they built and to their associates that have been very loyal to them in building this enterprise. And there is a – they have a great – I have a feeling that with AutoNation acquiring and putting the AutoNation brand on it and all the capabilities we bring to the table, and the career opportunities we offer their associates, they really feel that not only are they getting a fair price, but they're really doing a right thing for their associates. And they see and feel the complexity, both from the third party which, in many ways, is like competition, and how disruptive they are, the demands of the manufacturer, the amount of capital required, the amount of expertise required. And they see that we provide all that. So, we're really a take-home for the business they built and the associates they care about that we are giving them a bright future. And that is part of the equation, no question.
Michael Patrick Ward - Sterne Agee/CRT: And it seems like you're getting choice properties as well. And just when you look at where they're located and the size of the transaction, it looks like they're probably sought after.
Mike Jackson - Chairman, Chief Executive Officer and President: We are not doing transactions for transaction's sake.
Michael Patrick Ward - Sterne Agee/CRT: So, it depends on (51:14)...
Mike Jackson - Chairman, Chief Executive Officer and President: We're very patient, we've been very patient for a very long time. But I've always said, when the opportunity is there, we will move and we're in one of those periods. And if you're asking me what is different? I think your question is on the point. If you really look at this...
Michael Patrick Ward - Sterne Agee/CRT: (51:30) with that, Mike. That's for sure.
Mike Jackson - Chairman, Chief Executive Officer and President: This AutoNation brand that we're building coast to coast, no competitor is even trying to match it and it really differentiates us in a way that's never been done before. And a lot of benefit comes with that, dealing with the third party, setting the table for acquisitions, winning in the marketplace, building relationships with customer that's not – that can be long term.
Michael Patrick Ward - Sterne Agee/CRT: Thank you very much for your feedback and time.
Mike Jackson - Chairman, Chief Executive Officer and President: Thank you.
Operator: Our next question comes from the line of David Lim from Wells Fargo Securities. Your line is now open.
David H. Lim - Wells Fargo Securities LLC: Great. Good morning. First, I wanted to applaud AutoNation on the recall policy, great to see a dealer group doing that. The question that I have this morning is, when it comes to the differential of your in-house – the website and I think you mentioned it was maybe an $800 or $900 difference. Can you sort of box where you're getting the advantage versus a third party? I mean, obviously, there is, as you said, maintenance fees and commission fees. But I just want to get an idea of what are the other categories that are out there.
Mike Jackson - Chairman, Chief Executive Officer and President: Cheryl. I'll let Cheryl take the question.
Cheryl Miller - Executive Vice President and Chief Financial Officer: Yeah. One of the other things I'd say, too, is not only is it on the front-end margins. So, as Mike mentioned on new vehicle margins, they're stronger when we generate those directly, but also we get benefit from Customer Financial Services. So, when you blend those two together, on average, it's $800 or higher on a PVR basis, combined direct versus using third parties, who tend to have different customers that are targeting the business.
David H. Lim - Wells Fargo Securities LLC: Got you. Got you. And then, on the – and I wanted to sort of dive a little bit into just M&A, in general, for you guys. What's the balancing act between if it's a good fit, price or if it's even, might I say, a turnaround story? I mean, how does that all sort of fit into the overall equation? I mean, if it's a really, really good deal, yet, let's say, culturally, it's not 100% good fit, how do you guys balance all that out?
Mike Jackson - Chairman, Chief Executive Officer and President: We are very reluctant to do transactions that are not a cultural fit. To buy a business, to shut it down and rebuild this from ground up is not something that we're enthusiastic to do. So, we passed on a lot of deals that we just didn't think we could integrate without tremendous disruption. So, Jon, why don't you talk about our criteria?
Jonathan P. Ferrando - Executive Vice President - General Counsel, Corporate Development and Human Resources: Yeah, we look at – we've got brand, market, return criteria. So, we're looking for excellent retail locations. As Mike said, we're looking for a good cultural fit so that we can successfully onboard employees and transition the business profitably and successfully. We certainly got our return criteria, so it's got to meet our financial return metrics. We're looking at the demographics in the market. And if it's a good brand fit for that market, so buying, again, Chrysler and Chevy in Texas with the pickup truck mix is ideal. Similarly, last year, in Bellevue, Washington, we bought a Mercedes-Benz, Audi and Porsche stores. So, that brand mix and cultural fit was excellent. So, we're balancing all of those factors now have to come together. And that feeds back into what Mike said earlier as well that if you look at our batting average, you want to look at it that way it's about 100. We'll look at 10 deals and pass on nine that don't meet our criteria, and we'll do the one deal. And we feel like the last three years, if you look at the mix of acquisitions that we've done, they fit very well across all of our screening criteria. And we're very happy with that. And we'll continue to be disciplined in that way.
David H. Lim - Wells Fargo Securities LLC: Last question for Mike Jackson. What are you thinking from an overall industry standpoint sales going to in 2016, and if I may sort of push you a little bit, maybe even 2017? Thank you.
Mike Jackson - Chairman, Chief Executive Officer and President: Yeah. As you all recall, I think it was after the second quarter of 2014, I forecasted 17 million vehicles for this year. And it's clear now we'll break through 17 million. So, I don't know whether it's going to be 17.2 million, 17.2 million, doesn't matter. It's going to be great. And I think next year, we'll definitely break through 17 million again. Whether it exceeds this year, comes out the same or is it a little bit more, I can't say today. But I think even with somewhat higher interest rates, if it's 100 basis points next year, and that's still an if at this point, but let's say, all-in, it's 100 basis points, that's $15 a month for our customers, that can easily be dealt with. You combine that with the still pent-up demand, the products and the manufacturers are absolutely sensational. I see no sign that gasoline is going back to $3.50 next year. So, I'm very optimistic about 2016. I think it'll be over 17 million again.
David H. Lim - Wells Fargo Securities LLC: Great. Thank you.
Mike Jackson - Chairman, Chief Executive Officer and President: Thank you, everyone, for your time today. Really enjoyed discussing our business. Thank you very much.
Operator: This concludes today's conference. Thank you all for joining.